Operator: Good afternoon, everyone, and thank you for participating in today's conference call to discuss Black Diamond's financial results for its first quarter ended March 31, 2013. Joining us today are Black Diamond's President and CEO, Mr. Peter Metcalf; the company's CFO, Mr. Aaron Kuehne; and the company's Director of Investor Relations, Mr. Cody Slach. Following their remarks, we'll open the call for your questions. Before we go further, I would like to turn the call over to Mr. Slach as he reads the company's Safe Harbor statement within the meaning of the Private Securities Litigation Reform Act of 1995 that provides important cautions in regards to forward-looking statements. Cody, please go ahead.
Cody Slach: Thanks, Kelvin. Please note that during this conference call, the company may use words such as appears, anticipates, believes, plans, expects, intends, future and similar expressions, which constitute forward-looking statements within the meaning of the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements are made based on the company's expectations and beliefs concerning future events impacting the company and, therefore, involve a number of risks and uncertainties. The company cautions you that forward-looking statements are not guarantees and that actual results could differ materially from those expressed or implied in the forward-looking statements. Potential risks and uncertainties that could cause the actual results of operations or financial condition of the company to differ materially from those expressed or implied by forward-looking statements used in this conference call include, but are not limited to, the overall level of consumer spending on the company's products; general economic conditions and other factors affecting consumer confidence; disruption and volatility in the global capital and credit markets; the financial strength of the company's customers; the company's ability to implement its growth strategy, including its ability to organically grow each of its historical product lines, its new apparel line and its recently acquired businesses; the company's ability to successfully integrate and grow acquisitions; the timing and results of the company's exploration of strategic alternatives to monetize its Gregory Mountain Products business; the company's exposure to product liability or product warranty claims and other loss contingencies; the stability of the company's manufacturing facilities and foreign suppliers; the company's ability to protect the trademarks and other intellectual property rights; fluctuations in the price, availability and quality of raw materials and contracted products; foreign currency fluctuations; the company's ability to utilize its net operating loss carryforwards; and legal, regulatory, political and economic risks in international markets. More information on potential factors that could affect the company's financial results is included from time to time in the company's public reports filed with the Securities and Exchange Commission, including the company's annual reports on Form 10-K, quarterly reports on Form 10-Q and current reports on Form 8-K. All forward-looking statements included in this conference call are based upon information available to the company as of the date of this conference call and speak only as the date hereof. The company assumes no obligation to update any forward-looking statements to reflect events or circumstances after the date of this conference call. And I would like to remind everyone that this call will be available for replay through May 19, starting at 8 p.m. Eastern Time tonight. A webcast replay will also be available via the link provided in today's press release, as well as on the company's website at blackdiamond-inc.com. Any redistribution, retransmission or rebroadcast of this call in any way without the express written consent of Black Diamond is strictly prohibited. Now I would like to turn the call over to the Chief Executive Officer of Black Diamond, Mr. Peter Metcalf. Peter?
Peter R. Metcalf: Thanks, Cody, and good afternoon, everyone. As you saw at the close of the market today, we issued a press release announcing our financial results for the first quarter ended March 31, 2014. Black Diamond's first quarter results are a reflection of our product variety and seasonal diversity, as well as our global distribution platform. In spite of some extreme dry weather conditions in different parts of the world, Black Diamond's first quarter sales increased more than 8% in constant currency and approximately 7% in real terms compared to the first quarter of 2013. We also grew across all of our major geographies. During the first quarter, we shipped the majority of our spring 2014 apparel line and sell-through is both on track with our internal plan and based upon selected retailer response, is trending ahead of our fall '13 launch. Early retail and trade feedback for POC's road bike collection suggests it is well positioned for the core cyclist, and we expect the majority of the line to ship in the second quarter. Before I comment further, I'd like to turn the call over to our CFO, Aaron Kuehne, who will take us through some details of our financial results for the first quarter. Following Aaron's remarks, I will speak briefly and then open the call for questions. Aaron?
Aaron J. Kuehne: Thanks, Peter, and good afternoon, everyone. Black Diamond's consolidated total sales in the first quarter of 2014 increased 7% to $54.5 million compared to $51 million during the same year-ago quarter. This increase was primarily attributed to the retail launch of Black Diamond's spring apparel, as well as strong growth from POC's ski product. Almost every quarter, foreign exchange markets contribute some level of volatility to Black Diamond's financial results due to activities across multiple currencies. Primarily, the U.S. dollar, the euro, the yen and Canadian dollar. Due to net weakening of foreign currencies against the U.S. dollar on a consolidated level, first quarter sales were negatively impacted by approximately 140 basis points or $700,000. So on a constant-currency basis, Q1 sales increased 8%. Gross margin in the first quarter increased 70 basis points to 38.4% compared to 37.7% in the same period last year. The increase was primarily due to a favorable product and geographic mix, as well as increased contribution from higher-margin products by POC, PIEPS and BD apparel, partially offset by an 80-basis-point negative impact from foreign exchange fluctuations. Excluding foreign currency, or on a constant-currency basis, gross margin would have been 39.2%. During the quarter, DM and production and shipping variances had a negative impact of 220 basis points on gross margins, which, for comparative purposes, is an improvement of 40 basis points compared to the prior year quarter. First quarter SG&A, which excludes restructuring, merger and integration and transaction costs, was $22.6 million compared to $20.9 million in the year-ago quarter. The increase was primarily driven by further investment in BD apparel and POC. Adjusted net income before noncash items, a non-GAAP term, decreased slightly to a loss of $0.5 million or a negative $0.02 per diluted share in the first quarter of 2014, compared to a loss of $0.3 million or a negative $0.01 per diluted share in the first quarter of 2013. While first quarter working capital increased primarily from seasonal increases in accounts receivable and the timing of certain reductions in accounts payable, we continue to be pleased by our overall working capital efficiencies, which have been driven by better sourcing and inventory management. While total sales for the first quarter of 2014 grew 7%, total inventory actually decreased by approximately $3.2 million or 6% to $51.9 million compared to the same period last year. At March 31, 2014, we had $17.5 million outstanding on our $30 million revolving credit line with Zions Bank compared to $13.4 million at March 31, 2013. Total debt stood at $45.4 million, which include $17.5 million of 5% subordinated notes due in 2017. This compares to total debt of $38 million at December 31, 2013. Our first quarter results are right in line with our expectations and our financial guidance for first half and full year 2014 remains intact. We continue to expect fiscal 2014 sales to raise between $235 million to $240 million, which would represent an increase of between 16% to 18% from our 2013 sales. We continue to expect first half 2014 sales to raise between $95 million and $100 million. For the second half of 2014, the 6-month ending December 31, 2014, we expect total sales to raise between $135 million and $145 million. On a constant-currency basis, we continue to expect consolidated gross margins for fiscal 2014 to be approximately 39.5% to 40.5%. Finally, Black Diamond and KPMG, our independent accounting firm, are in the process of finalizing the review of our valuation allowance assigned to our NOL carryforwards. For this reason, the press release issued excludes our condensed consolidated balance sheets. We anticipate filing our first quarter Form 10-Q on or before the filing deadline of Monday, May 12, 2014. This concludes my prepared remarks. Now I'll turn the call back over to Peter. Peter?
Peter R. Metcalf: Thank you, Aaron. As I mentioned in my opening remarks, we believe that our Q1 results are indicative of Black Diamond's geographically diverse and complementary product offering. These results were somewhat challenged by the lack of precipitation in certain parts of the world which certainly impacted the sale of BD ski equipment in these regions. Such as our backcountry ski tailored products. Record low snowfall in parts of the U.S., like California, Oregon and Washington for 2/3 of the winter essentially ruined their ski season. Record-setting drought also impacted Austria, most of Switzerland and much of southern Germany. However, this is balanced by double-digit growth in POC, whose front country product portfolio generated very strong results in the quarter. The sell-through of these products is not as dependent upon a winter snowfall as our backcountry portfolio, since the majority of ski resorts across the globe were able to produce some snow in times of unseasonable conditions. We believe POC sales were strong primarily due to brand appeal to consumers. The high profile of POC as an emerging brand was reaffirmed during the Olympics, which highlighted POC's strength, clean design, and attractiveness to consumers on a global stage. The lack of precipitation was not nearly as impactful on our small but growing BD apparel lines, as cold temperatures still drive demand for our soft goods, especially in urban settings and because the first quarter is much more about shipping spring than it is about selling residual winter inventory at wholesale. While BD apparel and POC are well positioned for significant growth on a global scale, Black Diamond Inc. product offerings received over a dozen industry awards during their debut at the Outdoor Retailer Winter Market, SnowSports Industry Association and ISPO MUNICH trade shows. Our award-winning product ranged from snow safety equipment, skis and ski bindings, to backpacks, embedded apparel accessories and helmet crash sensors. The first quarter marked the retail launch of POC's road bike line, with a shipment of a very small amount of Octal helmet and POC apparel. As planned, the majority of POC's spring line was shipped during our second quarter. However, we have received some very encouraging press and retail feedback that confirms our belief that the line is well positioned for our targeted core cycling enthusiasts. Similar to Black Diamond's fall '13 apparel launch, POC is also pursuing a skier city strategy with its road bike line, and we expect its impact in sales to be more meaningful as the collection builds into spring '15. Having said that, the road bike category is cycling's largest and most vibrant niche and POC's expansion into this category is an important part of our growth strategy. This movement is cycling's largest and most vibrant category, is supported by 2 innovative high-profile and global marketing initiatives. The first is that of POC partnering with the Garmin-Sharp racing team to be the official helmet and sunglass sponsor of the acclaimed Tour de France cycling team. We are optimistic that this will be exceedingly impactful and benefit POC's subsequent product development in the bike market, including its recently announced partnership with Volvo. Together, POC and Volvo are cooperating on a myriad of projects from exchanging competencies in safety equipment and research to producing innovative driver-cyclist interaction products. I am pleased with the continued progress towards centralizing certain selling and distribution of POC's products direct to dealers in Central Europe. While the steps to complete this goal are still in process during the first quarter, we successfully closed POC's distribution center in Sweden and integrated it with our Central European warehouse. We also expected another BD apparel in Europe out of that same distribution center for fall '14 and ultimately, expect to be shipping to all of our European customers from that facility by spring '16. We also continue to make progress replacing select POC distributors in critical markets with internal sales agents by successfully converting several of POC's independent distributors in North America and Europe. All of these material conversions are expected to be complete in fall of this year and we expect both initiatives to be margin-accretive. BD apparel shipped almost its entire spring '14 inventory and although we will need another full quarter to draw our conclusion about the health of the spring launch, based upon a small sample of dealer feedback, the pace at which it is selling retail is at a faster cadence than our fall '13 launch with an equal number of days after shipping. During the first quarter, we fortified BD's global marketing talent by filling a position that had been vacant for some time, and by consolidating entire Black Diamond brand messaging under a new Global VP of Marketing, Nicholas Borling [ph]. For efficiency and better coordination, Nicholas will lead brand marketing for both apparel and gear and equipment on a global basis. Borling joins Black Diamond after 10 years in Annecy, France, working for Salomon, with his most role as Global Brand Director. Prior to that, Borling led marketing for Salomon in Sweden and the Nordic countries for 5 years. This hire and other moves to be discussed later in the call, underscore a pivot from a geographically centric management structure to a globally centric alignment. Concurrent to hiring Borling, BD also hired Stefan Hagenbuch [ph] in our Basel, Switzerland office to coordinate marketing initiatives in Europe. Hagenbuch worked with Borling at Salomon Europe prior to joining Black Diamond. Looking towards our fall '14 apparel line, which builds the collection to a more meaningful 1,945 SKUs, sold to approximately 800 retail doors, we have some key marketing initiatives planned for this season. Our strategy focuses on Black Diamond epicenters by core BD retailers and customers, key global mountain communities, as well as a few important global retailers. Compared to our fall '13 launch, we are significantly expanding our in-store marketing to include a toolkit to create more visibility at specialty retail. We are also developing seasonal BD messaging that will appear broadly from retail windows to in-store displays to on-product technology. These displays will highlight new and innovative technology like our GORE-TEX plus cohesive partnership and PrimaLoft and Down Blend. Digital marketing is a fast evolving space and we are focused on engaging our core customer either before or after a visit to the specialty retail shop. For our fall '14 line, investments include online advertising, digital catalogs, targeted e-mail campaigns and a social media strategy. We indicated earlier this year that we expect to triple our apparel revenue during 2014 and our fall '14 apparel bookings are in line with our earlier shared expectations. Over 90% of those retailers who participated in the F'13 launch are carrying the line and carrying it in greater breadth and dollars. We made significant progress during the first quarter in the implementation of our strategic pivot. You may recall that in the fall of 2013, we introduced the following important strategic inclusions. First, the recognition of and commitment to the idea that BD and POC brands represent our most significant long-term opportunities for compounded multichannel revenue growth and profitability. Second, we prefer to invest our capital in these assets rather than in additional brands in a marketplace with attractive brands are trading at historical valuations. Third, the belief that, over time, e-commerce and direct-to-consumer in some form are still to be defined strategic retail distribution model will play a meaningful role in the development and distribution of all our brands. And fourth, a long-term commitment to Black Diamond gear equipment, which forms the foundation of our lifestyle defining brand. Inherent in these strategic inclusions, is our goal to make Black Diamond more streamlined in its processes related to product design, development and distribution, and more focused on maximizing growth and profitability in what we've defined as our core product categories. To help accomplish this goal, we are in the process of appropriately and thoughtfully realigning resources. This includes the realignment of both our capital resources and human resources to those areas that have the greatest opportunity for stronger growth and higher margins. On the human capital side, we've made significant progress by both better aligning our human resource spend with those faster-growth and higher-margin areas of our business. As a result of this realignment, Ryan Gellert decided to resign from his role as BD Brand President and we have realigned resources under Mark Ritchie, our Chief Operating Officer, to a more global-centric versus geographic-centric management structure. And we have created a new Black Diamond Brand Managing Director position reporting to Mark. Tim Bantle, who headed up BD's apparel initiative, has been promoted into this new Global Brand Head position, overseeing all aspects of the brand, inclusive of gear and equipment and apparel. While Martijn Linden has been promoted from Apparel Design Director to VP of Merchandising and Design Apparel. In addition, Black Diamond European Product Manager, Thomas Hodel, has been promoted to ski line product manager and will perform this global leadership job out of Basel, Switzerland. We believe placing 2 Europeans into these global leadership positions alongside the recent hiring of Nicholas Borling, our VP of Marketing, and the recent promotion of Desmond Windejeiger [ph] into the VP of Global Manufacturing, goes a long way in reinforcing Black Diamond's commitment to being a global brand leader. Already today, over 50% of BD's business occurs outside of the U.S.A. Our Black Diamond Inc. President search is also maturing nicely. We have recently been introduced to a handful of very interesting and highly qualified candidates with exceptional experience and background, all of which would be strong strategic additions to our business. By design, this kind of hire takes time for people to get to know one another and to establish alignment in so many important long-term goals. We are, and expect to continue to be, purposefully deliberate in this process and we are optimistic that we can conclude this process successfully in 2014. On the capital side of the equation, during the first quarter, we continued to explore strategic alternatives for Gregory. As you are aware, we retained Rothschild to assist us with this process and we are optimistic that we might conclude this process successfully during the second quarter. We expect this strategic pivot to be largely complete by the end of 2014. Positioning the business for faster growth and profitability in the future and helping to further evolve our direct-to-consumer channel strategies. And as Aaron indicated, we continue to see double-digit sales growth during 2014. At this time, Aaron and I would like to open the call for a 30-minute Q&A session. So we're ready for that.
Operator: [Operator Instructions] Our first question comes from the line of Dave King with Roth Capital.
David M. King - Roth Capital Partners, LLC, Research Division: I guess, first off, that's pretty encouraging on the spring line in terms of -- on the early feedback you guys are getting, I guess, Peter I was just looking for more color in terms of what do you think that means or what do you think might be driving that? Is that -- any sense from those specific retailers? Is it, in your mind, is part of it the fact that it's the spring line, you're not having to deal with weather as much or are there other things you care to speak to that might be driving that?
Peter R. Metcalf: Sure. Great questions. I think number one is that it is less weather-dependent. Number two, it's more -- there's a large component of sportswear involved with this that you can wear anywhere and rationalize wearing it anywhere. Thirdly, the price points, as you know, are lower and it's easier, I believe, to make a, sort of, extemporaneous our impromptu buying decision when you see a shirt or a pair of pants or a jacket that you like that's relatively moderately priced compared to a technical winter item. You're much more apt to buy it. But I think in general, it is -- and there's been some reasonable displays of the product that we've worked with retailers on, that I think have also helped better merchandising. But at the end of the day, I do think it's the fact that we have lower price points, there is less of a seasonal aspect and it's more versatile relative to where you can wear it.
David M. King - Roth Capital Partners, LLC, Research Division: Okay, that helps. And then maybe with that in mind, does that make you guys reevaluate at all your thoughts around fall and your price point strategy or how does that all fit with each other? And how are you guys thinking about fall shaping up versus kind of that spring traction?
Peter R. Metcalf: Yes. Even if we had some epiphanies, it couldn't affect fall because fall is all -- it's produced, it's being made, it -- some of it's on boats now, that sort of thing. So it couldn't impact it. That said, I think what we've laid out is a good strategy of having sportswear that can be worn in multiple locations, in multiple environments and doesn't need a technical environment to be appreciated or you don't need to be in a cold environment. You can wear it anywhere. And apparel does have a different price point. I mean, so we know that. So it's really not at this moment affecting how we think about our fall business in any way or future fall seasons. But we are gratified to see that the initial response at retail by the consumer is that they are embracing the BD brand and BD apparel as a sportswear brand, a lifestyle brand and it doesn't have to be technical for them to buy it.
David M. King - Roth Capital Partners, LLC, Research Division: Okay, that helps. And then in terms of that, I think it was 90% of retailers, I think was the number you cited, 90% plus of retailers in 2014 are carrying the line versus 2013. Does that include spring or is that your fall -- is that a fall versus fall kind of number?
Peter R. Metcalf: That number there is a fall versus fall number.
David M. King - Roth Capital Partners, LLC, Research Division: Okay. And then -- I appreciate all the color on that. And then, Aaron, just a quick one on the valuation allowance, on the NOLs. I guess, can you provide any more color around what might be going on there, and what we should be expecting or what those conversations have been like in terms of whatever you can share around that?
Aaron J. Kuehne: Yes, so let's remind everyone that just under 45 days or around 45 days ago, we filed our 10-K with a clean opinion. And as you can imagine, working with one of the big 4 firms, they have an internal process review at the national level that we're just trying to get through. And so considering that this area is a very technical -- it's a super technical accounting issue, it's highly subjective, we're just getting through that process with KPMG. However, regardless of the impact, whether it has or whether it may or may not have an impact, that impact would be a noncash item that would flow through, once again, if there was an impact as a result of this review.
David M. King - Roth Capital Partners, LLC, Research Division: Okay. And then would it inhibit your -- so just against the valuation allowance in terms of what's being hashed out, would it impact your NOLs and your ability to recognize them at all in any way?
Aaron J. Kuehne: In no way would it impact the overall amount or our ability to utilize them.
Operator: And our next question comes from the line of Camilo Lyon with Canaccord Genuity.
Camilo R. Lyon - Canaccord Genuity, Research Division: I would like to get your thoughts on a little bit -- maybe a little bit more color actually on the reception by the retail community on the women's composition of your fall '14 line. I think that's obviously, a highly anticipated part of the fall line, and I think it'd be helpful to understand how the retailers that you've spoken to are thinking about the line, how they want to position it, what their representative reception to that line is vis-à-vis their men's, the take on the men's side?
Peter R. Metcalf: Camilo, this is Peter. Anything I give you at this point in time, I feel is really too antidotal, and I'd be happy to talk about that in the near-term future when we've got both Tim and Brian, our VP of Sales. But what I will say at this point in time that we've had quite a few retailers who've adopted that apparel are excited by it. And so it's a positive trend for us. But if you want more detail than that, I don't have that at this moment.
Camilo R. Lyon - Canaccord Genuity, Research Division: Okay. And would it be safe to say that the reception, the positive reception you're getting on that fall line is balanced between men and women?
Peter R. Metcalf: Unfortunately, I don't have those numbers in front of me. And I know that if -- I don't want to put my foot in my mouth. We are pleased with the response, but whether it is balanced, what do you define as balanced, 50-50? I don't believe it's 50-50 but I need to -- we need to dig into those numbers and we will get those for you.
Camilo R. Lyon - Canaccord Genuity, Research Division: Okay. No problem. And then, just moving on towards the -- to the comment where you made -- that you made about Gregory and hopefully expecting some sort of consummation to that process potentially here in this quarter, in the current quarter. I recall that on the last conference call, you said that the proceeds from that potential sale would enable you to reaccelerate the sales growth, the top line sales growth to an excess of 20%. If you could you remind us if that still holds and if that would be something that could happen as quickly as the back half of this year or would that be more of a 2015 and beyond reacceleration?
Peter R. Metcalf: Yes, Camilo, that's a great question. Our belief is that we can use those funds to fund apparel growth, POC growth, direct-to-consumer growth and retail growth. And there is nothing that we see that we could do with those funds, really, in 2014 that would have any impact in 2014. It's really starting in 2015 and beyond that, that we can impact that. And as you know, opening of retail stores take a reasonable amount of capital to do. It would certainly be -- could be utilized and deployed at that. But we would take that at a pace that's appropriate for dialing out our retail strategy, making sure that the first store is well thought-out and is resonating in every which way, and then we'll move from there. So it's a -- it would be a multi-year use of those funds, unless a unique opportunity appeared that would give us pause and cause us to say, "You know what? We should accelerate our deployment of that money."
Camilo R. Lyon - Canaccord Genuity, Research Division: Okay. And then just finally, we're coming off of a pretty good winter season for at least here in the Northeast and in the Midwest for outerwear apparel and footwear. Retailers have certainly made their orders with the vendor community, such that they don't run out of inventories like many have. Are you experiencing the same level of early commitments from the retailers that you partner with, with respect to your fall product line so that you're able to fast-forward some of your production?
Peter R. Metcalf: Good question, Camilo, and there's really a cadence for gear and equipment and a cadence for apparel. And if you look at gear and equipment, gear and equipment PO's are always placed after apparel PO's, in part, because apparel is much more of a -- heavily towards bookings in pre-seasons, while equipment has a higher ASAP component and retailers always put it after the apparel. Apparel did have a good season in most parts of the world and certainly in many parts of the U.S. Gear and equipment, as you've probably noticed looking at some of the other people who have reported, such as ski gear equipment had a slower response in the marketplace because of some of the areas where there really were droughts. And hence, in those areas, people were more reticent to give quick orders and large orders. So to answer your question, number one, with apparel -- well I would say that with both of them, I mean, we've been in -- we've been doing apparel now, it's our second season for fall. We have an experienced team running it. The bookings that we have received were done, they were in line with expectations and in line with the guidance. And then, likewise, on the gear and equipment side of things, we're comfortable with our guidance. It's in line with our expectation. We've been doing this a long time and we understand that when it comes down to winter products, especially ski product, it's a heterogeneous landscape and they're around the world. And you can never expect it to all be good and you can never expect it all -- rarely, can you expect it to all be bad. So we're comfortable with our guidance and it is in line with our expectation.
Camilo R. Lyon - Canaccord Genuity, Research Division: Do you have any room for at-once orders, ASAP orders should those arise between -- or inter-season on the apparel side?
Peter R. Metcalf: Both for gear and equipment and for apparel, at very different ratios, we have the capacity for at-once orders. That's always part of what we do. Obviously, you're trying to find a balance between risk and reward.
Operator: And our next question comes from the line of Sean Naughton with Piper Jaffray.
Sean P. Naughton - Piper Jaffray Companies, Research Division: When we look at the U.S. business, I guess, I'm just a little surprised that the growth was only up 3%, given the POC ski business, apparel launch, also some of the growth that you've had with some of the outdoor retailers where you sell some of your products. Surprised it wouldn't have been a little faster. Can you just remind us why the growth might have been a little bit slower or any nuances that happened in the U.S. for your product line?
Peter R. Metcalf: Yes, Sean, this is Peter. First, let me state that it is right in line with our expectation, the guidance we gave. And then let me say that, clearly, there were parts of the country, important parts of the country that, from the standpoint of ski equipment, gear and equipment, where it was just warm and it was dry. And it's in important parts of our market, and we certainly saw that in the fourth quarter coming, that it just didn't -- it wasn't very conducive to strong, robust sales by any means. And it stayed that way for various gear and equipment categories. Again, we've been at this a long time. I think it was very weather-related. But as a result of that, yes, it was soft in some of the gear and equipment categories. However, it was in line with the expectation and I did give some color there as to what was strong and what was a bit weaker.
Sean P. Naughton - Piper Jaffray Companies, Research Division: Okay. That's helpful. And then I guess, the growth in the apparel business, can you talk about -- I know it's early, but any differences between domestic and international, are you seeing better response rates with the international customer or with the domestic customer? And then if -- any color you can give us on the global stage for the brand as well, what's happening on the international side of the business with that high single-digit growth rate that you generated?
Peter R. Metcalf: On apparel, yes, as you know, there's not 1 Europe. It's a country-by-country sort of description. But what I would say is that, we don't see, I mean, if you really look at the U.S. and you look at Europe as the 2 major markets for us at this time, it really comes down to the quality of the store, how specialized it is, how strong of a BD retailer is it, who is their consumer base? So yes, whether it's Chamonix, we've done very well in Chamonix, for example, and have some great or a great retail partner there. And there are other areas like that. So I guess, the way I would describe it is specialty retailers who have a true enthusiast customer base, can merchandise well, have a great staff and attract more of the enthusiast than the generalist, whether you're in Europe, different countries in Europe or England or North America. I think that's the commonality there and if it's a more general sort of or big box, it's a little bit weaker.
Sean P. Naughton - Piper Jaffray Companies, Research Division: Okay. That's helpful. Last question, you mentioned something about the distributor conversion that's going on, where you're taking back some of these markets direct. Can you just give us a little bit more color there and then, the future opportunity on bringing more distributors, potentially, into a direct model for BD?
Peter R. Metcalf: Sure. And the -- it is for BD, Inc. but the countries that we're -- the company we are speaking of here, specifically, is POC. And the markets that we converted that were worthwhile markets to convert either because of their size now and/or their future potential and/or their ease of doing business were: France, Belgium, Holland and Canada. Those are the ones we've just converted, are excited about, and think have good opportunity for us either because of what we're doing now or the potential for the future. There are other markets that include for POC: Switzerland, Italy, oh and sorry, we also converted Japan but it's a very small market now but we think it's got potential over time. People there do not wear helmets very -- at the level we do here but it's a matter of time, we believe, before they embrace it. So that would be a good future. Italy is another potential market, but we're doing careful analysis to make sure that we understand when the customer buys POC in cycling or ski from a distributor what else are they ordering to make sure that if you're just POC, you're not going to miss out because the customer is also wanting to order several other brands at the same time. That's sometimes the advantage of a distributor market until you hit a certain critical mass. So we're doing a pretty extensive evaluation market-to-market at this moment. So we have not made any commitments to any of the markets. I should say there's one other one that we're looking at, sorry, seriously, Scandinavia. We do not -- though POC is located in Scandinavia. We do not sell direct to retailers in Scandinavia. And that is the one that is the highest profile, the highest priority for us in the not-so-distant future to make some decisions on.
Operator: And our next question comes from the line of Joseph Altobello with Oppenheimer.
Maury Dubin: This is Maury in for Joe. I was just wondering if you guys can discuss, because I know in the past you've talked about where you've made a fair investment in e-commerce. And I was just wondering if there is more spending or more investment in e-commerce and I guess, kind of, the role you see e-commerce playing going forward as the business evolves, and where you can see it going as a percentage of sales?
Aaron J. Kuehne: So this is Aaron. Yes, we continue to invest into our e-commerce platform. It continues to be an important part of our overall business. Just even in Q1, as a percentage of sales, B2C was about 7% of our sales compared to a historical run of about 5-or-so percent. And so we're starting to see some nice upticks coming from that channel, and it will definitely be a part of our focus into the future.
Maury Dubin: Okay, great. And then my next one, my last question has to do with SG&A, you guys said you expect to realize operating leverage this year and beyond. And I was just kind of wondering how much do you think there is around the SG&A line? And I guess, how low you think you can get as a percentage of sales?
Aaron J. Kuehne: So Maury, we provided guidance a couple of months ago related to how we're thinking about '14 and SG&A spend in that we believe that our SG&A will be up to $12 million. We've outlined that in the previous call. But yes, over time, we do anticipate to continue to leverage our SG&A spend and to become a more meaningful, profitable company into the future.
Operator: And our next question comes from the line of Mark Smith with Feltl and Company.
Mark E. Smith - Feltl and Company, Inc., Research Division: First, can you give us any update on Gregory as far as results outside of transaction? Any impact that it had on sales and gross profit margins during the quarter?
Peter R. Metcalf: Mark, Peter here. We just don't break out the results by brand for competitive reasons and otherwise. So appreciate you asking but that's just not a place we are going.
Mark E. Smith - Feltl and Company, Inc., Research Division: And then maybe for Aaron, I think on the last call, you talked a little bit about stock-based comp. You said that you'd expect it to be a little closer to, kind of, 2012 levels rather than 2013. Is that still the case?
Aaron J. Kuehne: That is.
Operator: [Operator Instructions] And our next question comes from the line of Andrew Burns with D.A. Davidson.
Andrew Burns - D.A. Davidson & Co., Research Division: In light of the strategic pivot towards POC and Black Diamond apparel, and as well as the margin analysis by SKU you guys have performed, are there any changes, especially in light of the operational changes you outlined today, in terms of your core Black Diamond equipment, new product strategy? Any changes to the velocity of new products, the areas of focus for new categories or profit hurdles required to bring new products to market?
Peter R. Metcalf: Andrew, this is Peter. I'll take that. What we are doing right now is we are rigorously using that profitability analysis to do a couple of things. Number one is, and we will report this in our next call, but for spring 2014, you will see a very meaningful reduction in the number of SKUs in the Black Diamond gear and equipment line. It will be a very substantial reduction, and we'll give that number out at our next call, what that is, and when you see at the trade shows, you'll know. We just -- looking at the numbers, we understand that we love product and our teams have allowed us to get too much product and it just doesn't pay back on itself. So that's number one. We believe that we'll be much more efficient with a greatly reduced SKU count. Number two, we are looking at potentially getting out of, and we'll announce this I think by the next earnings call, of potentially getting out of a category or 2 that isn't meaningful to us from a profitability standpoint or a brand standpoint. Number three, we're definitely making sure that our spend on product in gear and equipment is moving back towards our historical levels. It's a bit higher -- it had been a bit higher than that, and right now, we've done some things to make sure that it's back at a historical level that it is a profitable and sustainable level. And then I should say, number four, is we remain very committed to being a leader in the primary gear and equipment categories that Black Diamond plays in now, in most of those categories. They're profitable, they define the brand, but we want to curate those lines much more tightly. We want to make sure that there is a financial plan to go with the development plans. And that we're coming out at the right cadence with new product and meaningful new product that moves the meter. We are known for that, that has defined the brand. We know we can continue to do that but we also believe that we can do it with a tighter budget, a tighter group of people, more tightly orchestrated and more tightly integrated into the operations and into manufacturing, which became a little bit balkanized or siloed over the last 4 years as we created BD, Inc. from BD, and that is a major part of the motivation between moving to a global-centric management structure from a geographical-centric management structure. And secondly, to have Tim Bantle as the new Black Diamond brand leader report into the COO, who has control of some of these other assets, and can make sure that they're being well-integrated to avoid redundancy and ensure efficiency. So the commitment is we're going to continue to innovate at BD in the key categories, but we'll do it with greater discipline and much more tightly curated line and a smaller line, which will I think help ensure that the products we launch are meaningful, innovative and definitive to the brand.
Operator: This concludes our question-and-answer session. I would now like to turn the call back over to Mr. Metcalf for closing remarks. Please go ahead.
Peter R. Metcalf: All right. Thanks very much. Our Q1 results were emblematic of our product diversity and a testament to the fact that no matter the conditions, our customers love to be outside. We are well-positioned to execute our growth strategy in 2014, and we look forward to addressing you next on our second quarter call, which we expect in early August. Thanks, again, for joining us.
Operator: Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation.